Operator: Ladies and gentlemen, welcome to the AMS Full Year and Fourth Quarter 2018 Results Conference Call. I'm Miruna, the Chorus Call operator. Foreign Language] The conference must not be recorded for publication or broadcast.  At this time, it's my pleasure to hand over to Mr. Alexander Everke, CEO; Mr. Michael Wachsler-Markowitsch, CFO; and Mr. Moritz Gmeiner, Head of Investor Relations. Please go ahead, gentlemen.
Moritz Gmeiner: Good morning, ladies and gentlemen. This is Moritz Gmeiner. I'm very happy to welcome you to this morning's conference call on the full year and fourth quarter 2018 result. Please note that there is a presentation available for this call, particularly for the financial section of the presentation. This can be found on our website at ams.com in the Investor Section under the Presentations tab. With this, I would like to hand over to Alexander Everke, our CEO. Alex, please?
Alexander Everke: Thank you, Moritz. Good morning, ladies and gentlemen. I'm very happy to welcome you to our full year and fourth quarter 2018 conference call this morning. Before I start to discuss our business, let me add a few general comments. We have seen a more difficult year 2018 than we had originally anticipated and especially towards the end. The development of important end markets and customer demand was unexpectedly worse than what we had thought. At the same time, we were able to achieve strong growth last year and I'm happy to report this despite the difficulties encountered. Now 2019 is starting out on an unfavorable note as well as we see the tough market environment continuing with volatile end market dynamics that are hard to anticipate. We do not take this development lightly and are committed to do our best to work through countless time, but I'm convinced about our strategy and the steps we have taken and are taking to implement it. There has been no change to my conviction and I together with the very strong team at AMS are committed to continue to take the company forward using our long -- strong long-term platform for leadership in our focus areas. So let me now discuss our business. Starting with some key financial figures. Mike will later take you through the financials in detail. We have achieved strong growth for the company in 2018 with revenues growing 34% to $1627 million, a record for AMS. Our fourth quarter revenues played an important role in this reaching $491 million, up 4% sequentially and well in line with our updated expectations. Our adjusted EBIT was $146 million for the year, while adjusted EBIT for the fourth quarter was $62 million, or 13% of revenues, well in line with our updated expectations. Our strategy for leadership in optical imaging and audio sensing was the key driver for the substantial growth we recorded last year. However, in the fourth quarter, we faced unexpected weakness in customer demand in our consumer business, which resulted in update to our original expectations for the quarter. Our consumer business was nevertheless our main growth driver last year with optical sensing once more the largest business area for AMS. Optical solutions for 3D sensing and advanced display management were important revenue streams in 2018. However, in the fourth quarter, the performance of these lines were lower than originally expected. As the leader in optical sensing, we offer a broad portfolio of high-performance solutions for 3D sensing, including VCSEL-based illumination, TrueColor and other display management, advanced proximity sensing, spectral sensing and other optical applications. We are a leading provider for 3D sensing technology and ramped significant 3D sensing volumes for major global smartphone platform in the second half of 2018. Looking at the 3D sensing market, we see an ongoing coexistence of the 3D sensing approaches structured light, time-of-flight and active stereo vision as 3D sensing adoptions in mobile devices is moving ahead. We have been able to win designs in all 3D sensing technologies and expect more 3D sensing-enabled devices to be launched this year. From our OEM engagements, we do not see one dominant technology emerging, rather technology choices in 3D will continue to be driven by application, performance, software, solution partner, size and cost considerations. In the 3D market, we are successful with our current strong focus on 3D system illumination, winning at OEMs and leveraging superior VCSEL performance across technologies. Here we are working alongside different image sensor vendors, and I would like to briefly elaborate on this. Working alongside image sensor vendors means that in a specific 3D system, we maybe covering the illumination on the transmission side and the image sensor vendor, the sensor hardware on the receiving side. This is already the case at multiple OEMs and in solution designs today and we, therefore, don't see an overlap or competitive issue with the image sensor vendors out there. We have enabled 3D systems using different image sensor vendors and are able to address all system approaches, including implementation for structured light, time-of-flight and active stereo vision, which we are either seeing already or expect to come to the market. This broad traction underlines our system capabilities and the strength of our 3D illumination portfolio, covering structured lights dot projection, structured light auxiliary and time-of-flight flood illumination, time-of-flight proximity sensing and active stereo vision pattern projection. With design wins in structured light, iToF and active stereo vision, we provide VCSEL illumination solutions for a range of Android 3D devices, which are either launched or expected to be launched this year. Leveraging our solution know-how, we started shipping first VCSEL and 3D sensing products to Android structured light 3D face recognition to 2 Asian smartphone OEMs last year. Previously mentioned Android iToF design wins for 3D programs at 2 Asian smartphone OEMs are built on our illumination expertise and are either shipping or expected to ship in the first half of 2019. We first mentioned development efforts for active stereo vision last summer given the technology's interesting potential to combine attractive 3D performance with cost efficiency and implementation advantages. At the recent CES Trade Show, we presented a high-quality active stereo vision implementation for 3D face recognition in partnership with leading 3D software provider, Face++; mobile application process leader, Qualcomm Technologies; and 3D software specialist, Bellus3D. This solution, where we contributed the VCSEL illumination model and system design expertise is an excellent example for ecosystem partnership as industry participants are highly interested to engage with us. We have separately won a design in active stereo illumination and expect first active stereo 3D systems in Android smartphones this year. In active stereo, we believe upcoming reference designs will enable quicker and easier implementation of 3D sensing for Android OEMs, which we believe will drive adoption of active stereo. We address both front-facing related and world-facing application based on our leading portfolio in 3D sensing. For world-facing 3D sensing, we realistically expect another multi-year time line of adoption as applications and solutions continue to evolve. However, supporting early adoption we recently finalized an illumination solution for world-facing 3D sensing system at a major Android OEM and see volume shipments starting in the current quarter. I'm very excited that our differentiated VCSEL technology offers competitive advantages for 3D sensing that are being recognized in the marketplace. Together with our 3D system know-how, we are able to drive strong market and design traction for our VCSEL solutions in structured light, iToF and active stereo. We, therefore, expect to establish a significant market position in high-power VCSEL for 3D sensing over the next years. Our engagement with OEMs and ecosystem players and our ongoing development efforts are behind our leadership position in 3D sensing, which is built on our recognized solution capability and system expertise across all 3D technologies. Looking at other optical sensing, we reinforced our market leader position in display management, light sensors, including TrueColor, ambient light and proximity sensing. We shipped a wide range of display management solutions to a broad base of customer OEMs, which included significant volumes of TrueColor solutions that we ramped in the second half of 2018 and very small scale proximity sensing for audio accessories at a major OEM. At the recent CES trade show, we officially introduced an innovative solution for light and proximity sensing behind OLED displays, which enables maximum screen-to-body ratio and bezel-less phone designs. We previously reported first design wins in this technology and have recently started volume shipments for these wins to a leading Asian smartphone OEM. As elimination of the bezel is a key theme in the smartphone market, we are seeing additional OEM interest for this technology. We continue significant R&D activities for new and future optical sensing and VCSEL illumination technologies last year. We are working to finalize a miniature consumer spectral sensing solutions with a major consumer OEM, where we are eyeing out the details and expect shipments to start in mid-2019. Audio sensing was another growth area for AMS in 2018, showing continued good performance in the fourth quarter. We again saw solid volume growth in MEMS microphone interfaces last year, where we are the market leader, given the ongoing market success of home assistant devices with multiple microphone content. We are also a leader in the growing market for ear and headphone active noise cancellation or ANC, serving a broad base of accessory and device OEMs. Here, we recently introduced a highly miniaturized, high-performance ANC solution for wireless earbuds. Moreover, new technologies such as our single cable power and data interface and hybrid ANC are seeing market traction and offer additional opportunities going forward. We also see potential for audio sensing to support future machine hearing applications in the coming years. For the previously reported opportunistic power component win in a consumer charging application, we expect mass production this year as expected. In autumn 2018, we decided to de-emphasize development efforts in the environmental sensing and focus relevant resources on very attractive mid- and long-term growth opportunities in optical technologies. Based on the decision, we have already implemented steps to internally redeploy R&D resources to its optical sensing focus area. In addition, we are actively exploring strategic options for parts of the environmental sensing business. Following these streamlining efforts, we can pursue a more focused strategy around our strategic pillars; optical, imaging and audio sensing, which are core drivers for differentiation for us. Let me now look at the non-consumer side of our business. Our automotive, industrial and medical business performed well in 2018, serving advanced sensing applications in a range of end markets. Our automotive business showed attractive growth in 2018. Focused on safety, driver assistance, autonomous driving, position and chassis control, our automotive portfolio is strongly positioned towards structural growth areas in automotive sensing. Supplying a range of leading automotive systems suppliers, we see increasing customer interest in Asia, including Japan. At the same time, we expect a more muted development of automotive demand in the coming quarters, reflecting the prevailing industry and macroeconomic environment. In automotive LIDAR, development activities continue for a large reported 3D LIDAR program for a VCSEL array and driver illumination system at a global automotive supplier. The U.S.-based automotive LIDAR startup working with us presented their latest 3D LIDAR solution incorporating 128 VCSELs at the recent CES Trade Show. LIDAR and 3D technologies are gaining increasing OEM attention for automotive applications. Here, we offer VCSEL and optical sensing expertise and system know-how for high-performance optical implementations. Design activities for the first in-cabin 3D sensing project are progressing among increasing OEM interest. In this area, we see potential to leverage our system expertise in iToF and active stereo. Our industrial business recorded another successful year. As a leader in industrial sensing, we offer a wide range of differentiated solutions for industrial automation, factory automation, HABA and other industrial markets. Manufacturing, HABA, industrial IoT and other application markets continue to see increasing demand for sensor-based data acquisition. As a consequence, we expect new sensing technologies, including 3D sensing to create further growth opportunities in the coming years. Industrial imaging and machine vision was particularly successful last year winning new designs for our industry-leading global shutter technology. We brought innovation to the market and remain at the forefront of growth applications in high-performance image sensing. Our medical business showed a good performance, again, last year. As market leader in medical imaging for computed tomography and digital x-ray, we successfully ramped first solutions for a new Asian medical imaging OEM and see continuing good market traction in Asia. We also introduced the latest generation of our microcameras last year offering the world's smallest camera systems for endoscopy. Based on this exciting technology, next-generation medical endoscopy continues to be a growth area for AMS. Looking at operations, we completed a substantial expansion of manufacturing capacity in our Singapore locations last year to support customer plans. At the same time, we achieved major efficiency improvements and reduced process times in several production areas. These have resulted in a lower utilization of our expanded optical manufacturing and filter deposition capacity. We expect this situation to continue to create operational headwinds this year.  On the positive side, these advances in manufacturing allow us to expect very significantly lower capital expenditures for 2019 compared to 2018, which will support our financial strength. Our in-house wafer manufacturing capacity in Austria was, again, fully utilized through 2018. Construction of our internal VCSEL production line continues with limited equipment investment remaining. We see future -- we see further differentiation opportunities in both design and manufacturing of high power VCSELs, which are keen to be exploited through this manufacturing investment. To optimize operational and cost effects of the wafer manufacturing line as part of our total VCSEL capacity, we have adopted the front-end production ramp of the line to be planned start around the end of this year. In line with previous expectations, we will cover anticipated VCSEL volume needs for this year through our established outsourced supply chain. Given the current volatile capital market environment and as we do not see additional capital needs at this point of time that would drive a share placement, we have decided to postpone the planned secondary listing at the Hong Kong Stock Exchange. We successfully completed the prerequisite jurisdiction admission process for Austria in December and expect to pursue the planned secondary listing at a later point in time. Let me now come to the outlook for our business. For the first quarter 2019, we expect revenues to reflect the current, more unfavorable end market environment and subdued smartphone demands we are experiencing effects that adds to characteristic consumer market seasonality in the first quarter. As a result, we expect first quarter revenues of $350 million to $390 million based on available information. This reflects a continued unfavorable dynamic in the consumer market, in particular, when macroeconomic and general industry trends do not appear to offer additional support. Despite these additional influence, our revenue expectation for the first quarter is not significantly different from typical first quarter seasonality in the past years for the consumer supply chain that we are part of. We anticipate lower production volumes in our consumer business in the first quarter, which will in turn impact our profitability. We, therefore, expect an adjusted operating margin for the first quarter in the low-single digit percentage, which is similar to the levels we saw in the first quarter 2017. Even in light of these effects, we see the potential to generate a small positive operating cash flow for the first quarter based on current information. We are generally experiencing growing end market volatility, customer performance that is becoming more difficult to anticipate and ongoing uncertainty regarding end market demand trends, industry development and the macroeconomic environment. Reflecting this situation, we have decided to continue to provide detailed financial guidance on a quarterly basis for each upcoming quarter and to discontinue other numerical guidance. Despite this more difficult environment we are operating in, I would like to reiterate that I'm convinced of the strength of our strategic position, our competitive technology advantages, our customer traction and longer-term growth potential for AMS. Let me now hand over to Michael for a detailed look at our financial performance.
Michael Wachsler-Markowitsch: Thank you, Alex, and good morning, ladies and gentlemen. As usual, it's my pleasure to give you an overview of our IFRS consolidated and our adjusted numbers. For those of you who follow the presentation, let me start on right on Page 19 and jump into the details of our P&L. We saw, as Alex mentioned before, revenues coming in on a record level of €1627.4 million in 2018, a 34% increase year-over-year compared to $1213.8 billion in 2017. Q4, although reflects the unfavorable consumer market environment and the subdued smartphone demand we have seen. So in Q4, our revenues declined by 8% from $536.6 million in Q4 2017 to $491.4 million in Q4 2018. In line with our typical seasonality, we had seen a significantly stronger business in the second half 2018. In the next page, Page 20, you can see our revenue distribution. The regional split obviously, as usual, doesn't say a lot. Consumer -- customer distribution did not change very much in '18, but billing locations changed and the supply chain is obviously defined by our customers. On the right side of the page, you see our development by markets. We have seen a strong increase in our consumer business to over 70% of our total business, also given less attractive automotive, industrial, medical end market developments towards year-end. Within the AIM segment, automotive did very well. Industrial, obviously, remained the largest part within that segment. Our backlog at year-end 2018, you can see in the next page, Page 21, reflects the unfavorable market environment we had seen towards the end of the year, lower smartphone demand and also typical seasonality. We also see shorter ordering cycles of our customers.  Our gross profit margin on Page 22 shows the -- reflects the product mix, the strong underutilization of our manufacturing sites in Singapore, mainly driven from the first half or coming from the first half 2018. Gross profit margin decreased from 43% in 2017 to 31.7% in 2018. In absolute terms, there was an almost flattish development. Q4 gross profit margin came in at €174 million or 35.4% of revenues. These are adjusted numbers. Our IFRS numbers show 27.2% gross profit margin in 2018 and 28.2% in Q4, respectively. As you may recall, we had a very weak gross margin in the second quarter 2018, which played into the full year development of the gross margin. In addition, a less favorable product mix in the second half resulted in less attractive gross margin as well as lower-than-expected utilization in the second half and in the fourth quarter. Q4 gross margin was in line with expectations though, a solid result despite the lower-than-expected revenues. I would like to add that we had onetime restructuring costs in Q4 2018 regarding customer-related equipment in our manufacturing, which is not included in the adjusted gross margin. This is regarding customer-related equipment that we planned for, but the underlying capacity requirement did not materialize and we did not add the equipment. So we had to take a charge for costs related to not taking up the equipment. This onetime effect amounted to $24.6 million in the fourth quarter 2018. Further down the P&L, you see our R&D expenses. We had a substantial increase in absolute terms from 244 million in 2017 to 273 million in 2018. High R&D investments continued through 2018 for large projects in our consumer and non-consumer markets. In relative terms, we had seen a substantial decrease in 2018. Q4 2018, however, shows some year-end effects. Though this is clearly not the role model for the future. In Q3 '18, for example, our R&D spending was $68 million.  Our SG&A spending on the next page includes very selective improvements of the organizational structure and the global sales team. We continue to manage our SG&A expenses very well. We have seen a significant decrease in relative SG&A spending, showing the cost discipline in our business, and obviously, the effects of lower revenues in the fourth quarter for some commission structures. Our operating result, our EBIT and EBIT margin for 2018 shows the gross margin impact of underutilization in the first half last year, however, lower-than-expected demand in the fourth quarter, product mix in the second half and improvement-related underutilization plus the higher R&D costs in the fourth quarter. Our EBIT for full year came in at €145.6 million compared to 192.5 million in 2017. Our adjusted EBIT margin, therefore, was 8.9% in 2018 compared to 15.9% in 2017. The fourth quarter EBIT was €61. compared to 146.6 million in Q4 2017, 58% decrease. EBIT margin in the fourth quarter was 12.6%, right in line with guidance. We had a onetime restructuring cost in the fourth quarter 2018 as I mentioned before for customer-related equipment in manufacturing and we also had some expenses for restructuring in our environmental sensing business, which is reflected in our operating margin. Looking at Page 26. In our net financial result, we see a major impact of the U.S. dollar convertible bond option component and its valuation effects. We are required under IFRS rules to record changes in the value of the option element of the foreign currency convertible bond as non-cash items in the group financial result. This was the case throughout 2018 and led to this very strong growth in financial result. Our actual interest payment are low in comparison. Net interest paid for 2018 was actually $18.8 million. Our tax expense on Page 27, the P&L was, again, negative due to unwinding of historic tax structure, release of provisions and different tax effects across our different locations. Still we paid taxes last year in different countries, including Switzerland and the total tax payments amounted to around $13 million, which you can see in our cash flow statement. We'll now come to our net income and earnings per share. Our adjusted net income was significantly impacted by considerable valuation effects of the option element of the U.S. dollar convertible. We, therefore, report adjusted net result and earnings per share excluding the accounting-related effect from the valuation of that option. This is a non-cash distorting item, which is why this is being excluded. I mentioned this topic before in the context of the net financial result. However, this item was also the reason for a strong decrease of the adjusted net result as over the course of 2018, this item turns into a very large positive figure, so excluding it decreased adjusted net result and EPS. So our adjusted net result and EPS for 2018 came in at CHF12.1 million or CHF0.15 and €0.14 respectively, which is basic and diluted or $0.15 and $ 0.13, respectively in U.S. dollars. In the fourth quarter, our adjusted earnings per share came in at CHF0.02 basic and diluted or $0.02 basic and diluted. Now let me give you some additional information on the balance sheet. Turning to Page 30. We had a very positive working capital management in the light of the very strong business growth. Working capital at the end of 2018 shows a certain balance sheet effect -- balance sheet trade effect, though, regarding trade receivables and liabilities. Here you can see the very tight management of our working capital. Generally, it remains a priority for us. Inventories obviously reflect a year-end effect from the current demand environments. We saw higher inventory base at the end of the year. On Page 31, some information to our net debt, cash and short-term investments to which our net debt increased considerably in 2018, mainly driven by further capacity investments in our Singapore operations. The strong increase in cash and cash equivalents reflect the strong second half cash generation and the lower CapEx in the second half this year. Let me remind you that the large portion of that long-running convertible bonds, which mature in 2022, 2025, respectively. We are well aware of the high-than-desired leverage at this point in time and are very focused on improving this situation over time, and I would expect also over the course of this year. As I said, cash balance is high and it strongly improved in the second half and towards year-end given significant cash generation and lower CapEx. So our cash at the end of the year was $713.3 million compared to $447.7 million at the end of 2017. Our net debt increased though from $987.9 million at the end of 2017 to $1.362 billion at the end of 2018. Now let me give you some additional information on the cash flow. On Page 33, operating cash flow was significantly better in 2018 and also in the fourth quarter when compared to 2017. A strong fourth quarter cash flow shows the capability of our business to generate high cash amounts, helped by lower CapEx. Free cash flow in the fourth quarter came in at $226 million. Operating cash flow was $293.5 million in the fourth quarter alone. Now let me turn to Page 34 and to capital expenditures. After mentioning CapEx before, hear this, we saw a strong CapEx in 2018, again, but as mentioned, this year marked the completion of a major investment of CapEx cycle we have gone through. As you can see, CapEx already came down very significantly in the fourth quarter also versus the first quarter, and as we have mentioned, we expect CapEx for 2019 to be significantly below 2018 levels. And with that, I would like to thank you for your attention and would like to open the floor for questions. Thank you.
Operator: The first question comes from Andrew Gardiner with Barclays. Please go ahead.
Andrew Gardiner: Good morning. Thanks gentlemen taking the question. Two, if I could. Firstly, just -- so Alex, regarding the increase in end-market volatility and your quote around customer performance is difficult to anticipate. I'm just interested in a bit more detail around how you guys are thinking about managing the business in such a challenging environment? You've been investing in new product what seem to be getting design wins, but the lack of certainty around what those design wins will mean in terms of volume and perhaps price, certainly, from our point of view in the market, it makes it challenging to model and I presume given what you're saying, it makes it more challenging to manage. And I suppose if I look at some of the other financial items that Michael, you just mentioned, backlog is down significantly year-on-year and you -- seems a bit more than just sort of seasonal or macro, it's a significant reduction. You highlighted shorter order cycles, so it sounds like you're getting much less visibility from the customer. So what's your confidence in how things are going to develop over the course of the year and ability to utilize the CapEx you put in place and worked on the inventory, those kind of things? Just a bit more detail in terms of the -- how you manage the business in such an environment would be helpful. Thank you.
Alexander Everke: Yes, Andrew, thanks for the question. Of course, as I said, there is much more volatility than we have seen the year before, but the way to manage the business, I mean, most importantly, first of all, as we announced, we got multiple more design wins, not only in the Android space but also in the non-consumer space. And the more you diversify from large customers and add more customers on the plate with spear-leading technology, this can -- this stabilized the business. At the same time, we also are more careful in which kind of products we're taking aboard. So we need to understand what the application is and how successful we anticipate the business. And we are very careful in our R&D spending and OpEx spending.  For example, that's the reason why we addressed the environmental business to utilize the resources we have within the company for growth opportunities we have on hand right now without hiring more people. And then lastly, I think, most important is, especially in our CapEx spending, we mentioned it, but we expect the CapEx spending in this year significantly lower than we had last year. And because of better performance in our manufacturing line, we also don't need additional capacity. And in general, strategically, the call for the company is to focus more on outsourcing wherever it's applicable, not utilizing own assets for future manufacturing.
Andrew Gardiner: Okay. Thank you.And then I understand you're not wanting to give more sort of numerical guidance as we look forward. But just thinking to the second quarter and comparing it to last year, clearly, we had a significant drop in the 2Q last year that was quite unusual and related to sort of customer-specific movements. Is there any reason at this point in time to anticipate a similar kind of drop this year? Or do you expect it to be more normal in terms of seasonality?
Alexander Everke: As you can imagine, we cannot comment on the second quarter now. But what I could say is, that certainly, we see the second half of the year 2019 better than the first half. So this kind of seasonality we clearly see for this year, but I can't refer to second quarter.
Andrew Gardiner: Okay. Thank you.
Operator: The next question comes from Janardan Menon with Liberum. Please go ahead.
Janardan Menon: Hi, good morning. I just wanted to know whether you can take an estimate of what your market share in illumination is right now. You are sort of focusing on illumination across all the technologies as your sort of core offering to the market. Given the design wins that have already come out and the design wins that you've either won or not won, what would be your estimate of market share? And also -- as part of that question, what is the kind of price pressure that you are seeing in this -- in the VCSEL market? I mean, for a similar bid last year versus this year, what would be the rate of price erosion that you're seeing in the market? And maybe the last question is on spectral sensing, can you give us a small update, please?
Alexander Everke: Yes, thanks for the question. I can't give specific numbers on market share. But it's, clearly, we are leading in illumination. And if you just add together what we have announced, the design win pipeline we are seeing, especially in our VCSEL arena, we are winning in the Android space, one design after the other. And the encouraging sign we see is that it's really based on very differentiating technology, what only we have. Going forward even, and we also announced that this high-power capability we have in our illumination business also drives the real future growth and significant growth in the interior light automotive business. So we are very confident that we are leading in this and continue to lead. And of course, we are also, as I mentioned in this call, addressing all 3D sensing technology and structured light, active stereo vision and time-of-flight.  On the pricing, we see similar, I mean, we don't see major changes in price pressure, but we see -- obviously, there is price pressure, but you see very similar as in the past. And the more, I can tell you, the more differentiated technology you have, the less competition you have and less the price pressure you see.  And then on the third question, on spectral sensing, we said we have a business we expect to ramp in the -- in mid of this year, but equal traction engagement with customers, understanding the feature you can address with spectral sensing, whether it's color matching, whether it's food analyzers, utilizing those technologies and the end applications. So we see good traction there.
Janardan Menon: Got it. Thank you very much.
Operator: The next question from the phone comes from the line of David Mulholland, UBS. Please go ahead, sir.
David Mulholland: Thanks so much. I know you can't comment too much on absolute levels from Q2, but can you comment a little bit on mix and how you see -- or could you say anything on how you see mix of customers versus last year? Because obviously, last year you had a big issue with one key customer. Are there other ramps that are coming already in Q2 this year that you might have a more diversified business Q2 this year compared to last year? That'd be we really helpful. And then just secondly, on the spectral sensing commentary, just a quick follow-up. But can you -- I think in the past year you've commented that you expected it to be somewhere in the kind of single digit millions volume size. Any quantification on the kind of scale of ramp that you expect this year would be really helpful as well.
Alexander Everke: Yes, David, thanks for your question. To the first one, I think you're raising a very good point. Based on the announcement we just did and did in the past, we do have a significantly better pipeline for the Android mobile business for first quarter and also second quarter and the quarters to come. So this is a big difference to last year. So high volume is ramping already this year and will continue for the following quarters.  On the spectral sensing, I don't recall that we gave any numbers there, but you see small volume ramping mix '19 for first applications coming to the market, and we expect the moment those applications are visible to other customers, will create more interest and more design win for the future. We have seen this with other technologies in the same way.
David Mulholland: That's great. Thank you.
Operator: The next question comes from Robert Sanders with Deutsche Bank. Please go ahead, sir.
Robert Sanders: Yeah, hi. Good morning. My first question is just on your move towards more outsourcing. I was just wondering if you've done any work actually looking at a more asset light strategy overall for your business, and including such things as carve-outs, et cetera? And I'd be interested also in -- to sort of get an idea of your Tampine line in VCSEL is actually now, when it could become cost competitive with using outsourcing? And I have a follow-up. Thanks.
Alexander Everke: Yes, thanks for the question. On the outsourcing, so strategically, there is no change. We always said that only technologies, which are highly differentiating, with other words, no one else can do it, if we do in-house, the rest will be outsourced. Now we continue this strategy, but we are actively looking for additional sources where technologies, which are maturing over time can be outsourced even faster. This is clearly the strategy. And the way going forward is, of course, we want to limit our capital expenditure to the minimum needed. And the same applies for the VCSEL manufacturing building up in Singapore currently. We will start the production end of the year and utilizing the established supply chain we have already in the course for the year. But, as you know, we needed to invest to make the 3D launch for the whole market happening. Without the investment we have done in the last 2 years, you wouldn't have seen this application in the market as you see it today and this enabled the technologies, enabled the market, we just had to do.
Robert Sanders: Got it. And just on spectral sensing, is it still roughly a $2 content item when you think about getting into the smartphones, for example?
Alexander Everke: It's multiple dollar, yes. It's a highly complex technology, very, very differentiating, it's a multiple dollar device.
Robert Sanders: Okay. Thank you.
Operator: The next question from the phone comes from Achal Sultania with Crédit Suisse Your line is now open Please go ahead, sir..
Achal Sultania: Hi, good morning. Just a question on the mix. Like how should we think about the mix as we go into the back half of the year? Obviously, mix has been a specific issue that you've been raising for the last few quarters. Given that we are already in the start of the year and you already must have got some indications from customers around product launches that are expected in Q2, Q3. Is mix expected to significantly improve? Or should we expect volumes to be a bigger driver as we think about margins in the back half of the year? And then I've got a follow-up on VCSEL. Thanks. 
Michael Wachsler-Markowitsch: This is Michael. Yes, we expect a significant improvement of the mix. That's why we also said we expect a stronger second half than first half as we have seen also historically, and this is obviously also then driving margins.
Achal Sultania: Okay. And then just on the VCSEL side of things, obviously, you expect a ramp of mass production end of this year, 2019, right. Clearly, that fab is going to take some time to ramp up because of the CMOS nature of the products. Should we expect any short-term negative impact on margins as that fab starts to ramp up? Or is it going to be too small in the bigger scheme of things that we should not care about the ramp that much?
Michael Wachsler-Markowitsch: Yes, it's definitely small. So compared to our bigger size of the company, we won't see much of an effect.
Achal Sultania: Okay. Thank you. Thank you.
Operator: The next question comes from David O'Connor with Exane BNP Paribas. Please go ahead.
David O'Connor: Good morning guys. And thanks for taking my question. A question for Michael on cash and balance sheet. What's the priority for you for capital allocation in 2019? On the one hand, you've suspended the dividends, previously in November, the partial buyback of the convert. If you can give us some color that should be great. And then I have a follow-up.
Michael Wachsler-Markowitsch: Yes, sure. I mean, clearly, as you have seen with the development of our cash at the end of the year, preserving cash is very important these days with the high net debt. And the -- clearly, our intention for 2019 is to reduce our net debt and bring it more in line with our own expectations.
David O'Connor: Is there a target -- is there a leverage target for exiting in 2019 that you guys have set?
Michael Wachsler-Markowitsch: I can't give you any number, but it should be significantly lower.
David O'Connor: Okay, got it. And maybe one follow-up for Alex on the automotive, medical and industrial bucket of the business. You talk about a more muted development there on automotive, which is not so very surprising given what we've heard from peers. Can the Austrian fab remain fully utilized or -- in 2019 in this kind of environment? Or can you give us some color about the -- how much of that business is outsourced in and around the Austrian fab? Thanks. 
Alexander Everke: Yes, thanks for the question. Actually, this -- a little bit more muted demand actually help in the factory in Austria was at the edge of capacity last year. This eased up the situation a bit. So I have no concern at all that we have underutilization in the fab in Austria. So this will be fully loaded. And we also do have the flexibility that certain products we have -- we can manufacture in-house and outsource, and that means, in case of any event that there would be expect that we can insource again. So this is very, very well managed and I don't see any problem for this year.
David O'Connor: Very helpful. Thank you. 
Operator: The next question comes from Sebastien Sztabowicz, Kepler Cheuvreux. Please go ahead, sir.
Sebastien Sztabowicz: Yeah, hello. Thanks for taking my question. Could you please make an update on the charging project? When do you expect to have the first revenue contribution from this specific project? And also on the Singapore fab, what was the utilization rate in the last quarter of 2018, please?
Alexander Everke: To the first question, this charging project, it will ramp in the first half. We are very excited about this. It's an opportunistic project, as you know, but the ramp will happen in the first half and continue for quite a while.
Michael Wachsler-Markowitsch: And this is Michael. To your utilization question, we can't give specific numbers. But obviously, it was low and we've seen some headwinds and that's why the margin actually is where it is.
Sebastien Sztabowicz: Okay. One last question, if I may, on the CapEx. You expect a significant reduction for 2019. Could you be a little bit more precise, helping us to model little bit the free cash flow for this year?
Michael Wachsler-Markowitsch: Well, we don't give any specific numbers, as you know, but if I say, significantly lower, you can really expect and looking into Q4, you have already seen that it is significantly lower than Q4 '17. So probably, you can read something out of it.
Sebastien Sztabowicz: Okay. Thank you.
Operator: The next question from the phone comes from the line of Sandeep Deshpande with JP Morgan. Please go ahead, sir. 
Sandeep Deshpande: Yeah hi. Can you talk a little bit about this world-facing 3D sensing, and I mean what components you would supply to this market as well as any other kind of 3D sensing that where you will have revenues in probably in the lower end versions of 3D sensing where you might be supplying components? And when both these will start substantially contributing their revenues and if there are any wins in those things?
Alexander Everke: So on world facing, I mean I mentioned in the call right now, it's -- a lot is based on our illumination -- various illumination competencies and you could expect this in a way for the world-facing architecture. We are quite excited about this because this is the first time this new application would come to market. And as we have seen it's from the front-facing, we expect that this will evolve to more customers over time. So this is a quite exciting topic. And we are very encouraged that we -- on the front-facing also winning one after the other design win, which clearly shows the competencies and system knowledge we have and the product portfolio, which include system architecture and knowledge and software. And the ramp will happen, as I mentioned, in the first half and we are seeing a good traction on this business.
Sandeep Deshpande: Thank you.
Operator: The next question comes from Michael Foeth with Vontobel. Please go ahead.
Michael Foeth: Yes. Hi gentlemen. Three questions. You mentioned the utilization rate in Singapore in the fourth quarter, you cannot give us a specific number, but can you tell us how you expect this to trend in 2019 according to your current budget? Will it sort of be twice as loaded as in the fourth quarter? Any indication on that would be helpful. Second question, again, on the spectral sensing, I think I remember that you talked about a small number ramp already late in the fourth quarter initially and now it seems to be in this mid-year, so can you tell us what created that delay? And then finally, just on your reporting, you seem to restate your past numbers systematically, I guess, due to changing FX rates. So effectively, you're reporting in euros and not in dollars. Any -- could you give maybe a clear historic restatement every time you do that, that would be very helpful just as a remark. Thank you.
Alexander Everke: Yes, let me -- Alex here. Let me take your second question and Michael will address the first and third one. On the spectral sensing, as I mentioned, this is a very highly differentiated technology, which includes software and for that reason, we are working currently with the customer on the project and for obvious reasons, there had been a certain delay. But we are very confident that mid of the year this will be launched. And we experience this when new projects and new technology comes to market, this is -- this can happen.
Michael Wachsler-Markowitsch: To your loading questions, this is Michael. We -- obviously, it's low, you can see it with the revenue development and we expect to improve over the course of the year. With -- having said that the second half, we see an improved product mix and we see a similar pattern of second half versus first half. We also see the loading to improve in the second half and, therefore, the margin situation. To your currency question, we -- our functional currency obviously is euros and we calculate then the U.S. dollar we report, we use the last quarter's average FX rate for -- also historical numbers to really compare apples-with-apples, yes.
Michael Foeth: Yes, then it would be helpful to have the euro numbers -- all the euro numbers as well because keeps on shifting everything.
Michael Wachsler-Markowitsch: Euro numbers are obviously there, you'll find it in the report.
Michael Foeth: Okay. Thank you. 
Operator: The next question comes from Jurgen Wagner with MainFirst. Please go ahead.
Jurgen Wagner: Yeah, good morning. You mentioned in your prepared remarks that you don't see one dominant 3D technology, but as a follow-up on your -- on the utilization question. Assuming that time-of-flight or even active stereo vision would replace the structured light solution you have at the moment for face ID, what would happen to your utilization of the Singapore fab? And the second question is, you had some traction with your behind-OLED light sensor, how meaningful can that be or can that become over the next, let's say, 2 years? Thank you.
Alexander Everke: Yes, to -- thank you for the question. So behind-OLED is a meaningful business and we see very strong traction after the announcement at the CES this year from multiple customers to engage with us to have behind-OLED in their platform. And especially, when you look at potential new phones with multiple displays, this adds a lot of volume to this business.  Regarding 3D sensing technologies, as I mentioned, I do not see that one of the technology get replaced. It's more a coexistence of 3 technologies, and we see it in these discussion with customers, everybody has a different focus, a different application, software requirements and cost assumptions. So we see this living along each other and not that one will replace the other.
Jurgen Wagner: Okay, good. Thank you.
Moritz Gmeiner: Thank you very much ladies and gentlemen. This was the last person for you this morning's question-and-answer session. We thank you very much for your interest this morning and we look forward to speaking to you again with our first quarter results. Thank you very much, and goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines, goodbye.